Operator: Good morning, and welcome to the Darling Ingredients Inc. Conference Call to discuss the company's First Quarter 2022 results. After the speakers' prepared remarks, there will be a question-and-answer period, and instructions to ask a question will be given at that time. Today's call is being recorded. I would now like to turn the call over to Ms. Suann Guthrie. Please go ahead.
Suann Guthrie: Welcome to the Darling Ingredients First Quarter 2022 Earnings Call. Participants this morning are Mr. Randall Stuewe, Chairman and Chief Executive Officer, Mr. Brad Phillips, Chief Financial Officer. Mr. John Bullock, Chief Strategy Officer, and then Sandra Dudley, Executive Vice President of Renewables and U.S. Specialty Operations. There is a slide presentation available on the Investor's page under the Events and Presentations on our corporate website. During this call, we will be making forward-looking statements, which are projections or other statements about future events. These statements are based on current expectations and assumptions that are subject to risks and uncertainties. Actual results could materially differ because of factors discussed in today's press release and the comments made during this conference call and the risk factors section of our Form 10-K, 10-Q, and other reported filings within the Securities and Exchange Commission. We do not undertake any duty to update any forward-looking statements. Now, I would like to hand the call over to Randy.
Randall Stuewe: Hey, thanks, Suann. Good morning, everyone. Thanks for joining us for our first quarter 2022 earnings call. We kicked off the year with very strong first-quarter earnings of $330.7 million and combined adjusted EBITDA. Our Global Ingredients business had a record quarter at $244.1 million in EBITDA. Our food business earned $57.7 million in EBITDA and our fuel segment ended the quarter with $110 million in EBITDA with $86.6 coming out of Diamond Green Diesel.  We're carrying solid momentum into 2022. Global supply chain challenges remain, while increased labor and energy costs are being addressed by our formula and spread pricing and finished products. Pricing remains robust around the world. Starting with our feed segment globally, raw material volumes are up year-over-year, and we're not seeing any indication of livestock or hard reduction. Fat prices continued to escalate through the -- throughout the quarter. Protein prices improved during the quarter and grew sequentially. However, logistical disruptions due to container shortages have kept our prices lower year-over-year. Additionally, we saw some margin compression relative to Q1 in 2021, which reflects procurement process lags due to rising prices.  We're working diligently to maintain margin structure and a higher energy cost environment, especially in Europe. Turning to our food segment, performance grew year-over-year, driven by our peptide business and our product mix shift from commodity gelatins to hydrolyzed specialty collagens. The changes we made in late 2021 have helped improve margins. I am confident we will see improvement in the food segment for the balance of the year, despite supply chain challenges. In our fuel segment, escalating energy prices in Europe supported stronger earnings in our green energy electricity business. Our previously announced acquisition of Optivac is contributing nicely and is under expansion.  Now, turning to Diamond Green Diesel, we successfully completed a turnaround at DGD 1 during the first quarter. Q1 earnings for DGD, were $1.11 per gallon EBITDA. This is lower than our full-year estimate of a $1.25 per gallon, and it's attributed to rapidly escalating feedstock prices while heating oil RINS and LCFS did not have adequate time to react. As we head into Q2, margins are on the rebound. We're seeing higher rents and steady LCFS prices. DGD 1 and 2 are running wide open and optimization programs are in place to increase gallons. Given these factors combined with the startup of DGD3 in Q4, we maintain our forecast of at least 750 million gallons at a $1.25 per gallon EBITDA for the full-year 2022. Last week, we announced two key strategic acquisitions to grow our base business, the completion of the Valley Proteins acquisition and our signing of a definitive agreement to purchase the FASA Group in Brazil.  With these announcements, we will process more than 15 million metric tons of the world's available slaughtered animal by-products or about 15% of the world’s supply. Valley Proteins which closed on May 2nd for $1.1 billion, plus or minus various closing adjustments, includes 18 new plants to process about 2.4 million metric tons of raw material per year, and enough fat to produce approximately 125 million gallons of renewable diesel. This is a great acquisition and will be immediately accretive. For 2022, we expect a contribution of $60 million to $70 million of new EBITDA. And under current market conditions, I anticipate the business contribution to be more than $150 million in EBITDA in 2023 as we address operational synergies. On May 5th, we announced the signing of a definitive agreement to purchase FASA Group for 2.8 billion Reals or approximately 560 million U.S. dollars at the current exchange rate. FASA Group processes more than 1.3 million metric tons of beef, pork, and chicken annually through 14 rendering plants with an additional two plants under construction, and has approximately 2400 employees. FASA will augment our supply of low carbon feedstocks to Diamond Green Diesel and will also be immediately accretive upon closing. We expect to close by the end of the year. The current operating EBITDA of this business is approximately 500 million Reals per year. Now I'd like to hand it over to Brad to take us through the Financials and then I'll come back with a little bit of an outlook for the balance of 2022, Brad.
Brad Phillips: Thanks, Randy. Net income for the first quarter, 2022, totaled $188.1 million or $1.14 per diluted share compared to net income of $151.8 million or $0.90 per diluted share for the 2021 first quarter. Net sales were $1.37 billion for the first quarter, 2022, as compared to $1 billion for the first quarter 2021 or 30.5% increase in net sales. Operating income was $232.9 million for the first quarter of 2022 compared to $199.5 million for the first quarter of 2021. The 16.7% increase in operating income was primarily due to the gross margin increasing $71.9 million or a 26.2% improvement on higher volumes and record high fat prices and our Global Ingredients businesses while our share of the earnings from the Diamond Green Diesel joint venture declined $30.4 million to $71.8 million from $102.2 million the previous year.  Additionally, the first quarter of 2022 included $3.8 million of acquisition and integration costs primarily related to our acquisitions of Optivac, Valley Proteins, and FASA Group, as well as $4.6 million increase in SG&A. Now turning to income taxes, the company recorded income tax expense of $26.1 million for the three months ended April 2, 2022. The effective tax rate for the first quarter is 12%, which differs from the federal statutory rate of 21% due primarily to biofuel tax incentives, the relative mix of earnings among jurisdictions with different tax rates, and excess tax benefits from stock-based compensation. The company also paid $41.4 million of income taxes in the first quarter. For 2022, we are projecting an effective tax rate of 18% and cash taxes of approximately $60 million for the remainder of the year.  Total debt outstanding at the end of the first quarter 2022 was $1.7 billion as compared to $1.5 billion at year-end 2021, and the bank covenant leverage ratio ended the quarter at 1.69 times. The increase in debt was primarily result of the acquisition of Optivac and contributions to Diamond Green Diesel due to the projects acceleration. Capital expenditures totaled $71.6 million in the first quarter, and the company repurchased $17.2 million of common stock. Lastly, you will note we added a $500 million delayed draw term loan aide, which was undrawn at the end of the First Quarter. With that, I'll turn it back over to you, Randy.
Randall Stuewe: Thanks, Brad. Looking ahead, the business environment remains very favorable for Darling Ingredients. Rendering volumes are robust and growing with no sign of depopulating or hard reductions. Despite global supply chain concerns, we are optimistic as we have seen some improvement and better raw material availability. While European energy prices were up 250% year-over-year, we are working hard to minimize the impact and protect our margin. Darling Ingredients continues to lead the way in creating renewable and bio-energy solutions to combat rapidly rising energy prices and satisfy the world's demand for low carbon fuels and decarbonization. We expect our Green Energy business in Europe to continue to flourish as we expand capacity to meet this increased demand. Diversifying our feedstocks supply to support DGD from a multi continent arbitrage has been our focus. Darling's access to low carbon intensity feedstock is unparalleled in the industry. DGD is an ideal location with access to multiple transportation options. Our pretreatment expertise and our experienced team make DGD the lowest-cost producer of renewable diesel in the world and our best is yet to come. Our Global Ingredients business run rate supports earnings of $1 billion to $105 billion EBITDA for the year without Valley Proteins. Valley Proteins is expected to contribute about $60 million to $70 million of running EBITDA in 2022. Adding in at least 750 million gallons of renewable diesel at $1.25 per gallon EBITDA, we believe a combined adjusted EBITDA of 1.55 to 1.60 is very achievable. This does not include any additional gallons that may even be produced at Diamond Green Diesel 3 in Q4. With that, let's open it up to Q&A now.
Operator: We will now begin the question-and-answer session. [Operator Instructions] At this time we'll pause more material to assemble our roster. Our first question will come from Manav Gupta with Credit Suisse. You may now go ahead.
Manav Gupta: So Randy, somehow you guys are always ahead of the curve. You figured out renewable diesel before everybody else did, your facilities are now coming on, DGD 3 is coming on soon, and the world is like your competitors are still figuring out permitting and stuff, so somehow, you're always ahead of the curve. And my question here is, when we see the next leg of growth for Darling here, it appears between Valley Proteins and FASA and the deals you're signing with DGD 3 and stuff, that the next leg of growth for Darling is going to be coming from the feed side of the business. I mean, you have DGD 3 coming on, but when we look at the next level of growth for next three or five years is going to be in the feed side, so if you could comment a little bit on that, sir.
Randall Stuewe: Yeah, I think. Thanks, Manav. We appreciate the comments and that we got to say hats off to the global Darling team on bringing these acquisitions home. The Brazilian one we worked on for almost eight years, and the Valley Proteins one I've been working with the Smith family for a number of years to bring that one home as well. I think we talk very openly about a four-legged approach to growth. And we in this room with the management team still view Darling as really an excellent growth vehicle around the world. We don't see our growth anywhere near done in the near future. And so, I'm going to talk about four paths of growth here. Number one, that's our Green Electricity business in Europe. We continue to see the opportunities to add digestion capacity. Op de Beeck is an example that's going to grow substantially in volume given energy prices in Europe, it's a very lucrative investment, but most importantly it allows us to arbitrage different raw material streams that typically could go to landfill or can go to landfill and make energy out of them, so it's a very good investments, so that's the Green Energy side. You got to move to Diamond Green Diesel. We're not done there yet. I mean, jet fuel, you saw the united announcement here this week. We are not by any means discounting the fact that we won't be making SAF here in the next couple years. We're just going to let the policy evolve before the CapEx is spent here. And we believe there's just adequate gallons there eventually, when the policy supports that. So that's number 2. Number 3, you will see the food segment accelerate for the balance of the year and next year. We've built a special product and a product line there, and it's expanding into our biomedical area now that gives us a really a new opportunity to add significant earnings without volatility. And that's a very different business in the sense that it uses slaughtered animal by-products as raw materials, but at the end of the day it's more of a specialty ingredients business than anything else we're in.  And we've got a great team there, that's moving it forward. As we look, we've got the Green Energy, we've got Diamond Green Diesel Expansion, SAF, we've got the Peptan business that we're working on growing. And then the fourth leg is clearly the -- what I -- we would call it Global Ingredients business or core rendering business. Valley Proteins was our number 2 independent processor in the United States. It is a great team, great locations where we're not at basically 50% the size of Darling USA rendering operations in volume per week. And I think it's very easy to look back historically what Darling post national by-products, post Griffin in the 2011/12 can make. And then we're almost -- we're about 60% bigger now in North America or the USA than we were at that time. So that's where we're trying to telegraph that Valley Proteins will be incredibly accretive to this company once we get it integrated and once, we get the margin structure, the operations, and get it to look like the business that we have. Moving south to Brazil, we've talked openly about Brazil for a number of years. We're a very successful Company in Brazil today, adding these factories to our Brazil management group and our team and our structure, just made a lot of sense. Brazil will feed the world and we absolutely believe that animal agriculture, while it may come under challenges in Europe and maybe to a degree at times in Canada or the U.S., Brazil is still the Wild, Wild West relative to growth in animal agriculture. And we have 14 factories and two more under construction, they're spread out throughout Brazil to allow for growth from the south to the north as Brazil expands. And so, I think the thing that's interesting, and I'm sure Sandy will comment later today, but we're already importing fats from Brazil into Diamond Green Diesel. That goes with the logistics that we've always talked about of location for Norco and St. Charles and Port Arthur. So, the FASA Group was an immediately just a very simple idea that we've been working on for a lot of years. It's being procured or bought from a private family that we know very well. The management team is going to stay in place for three years to help us continue to grow. So those are the four pass, Green Electricity, DGD, Peptan, and core ingredients growth. We continue to see many, many opportunities still around the world in the core ingredients growth, including additional factories that will be put under construction here in the U.S. once the agreements are signed. So, we just still see Darling as a growth vehicle, Manav.
Manav Gupta: Perfect, sir. My quick follow-up here is sometimes as analysts we focus too much on fat prices, grain prices, LCFS, and we sometimes don't give enough credit to the fact that Darling at the end of the day is a technology innovation company. You spent so much time on collagen peptide and figured it all out and is doing very well for you. So, can you talk a little bit about your R&D efforts, R&D pipeline? What's that looking like and then where could the next leg of R&D be? And I'll leave it there leave it there. Thank you so much.
John Bullock: Thanks, Manav, this is John. At the end of the day, we have tremendous expertise in taking the byproduct material from the meat industry around the world and turning it into a variety of different products. What Darling, I believe, has been really good at is we focus on the value of the finished products. We're always out there trying to figure out where our customers and the world is going to take us for demand for our products. And then we work backward from there, trying to figure out how to create the most efficient and best supply chains around those great products. I want you to see inside of Darling today is we've got rock star, and I mean rock star low - carbon products across the spectrum of biofields, as well as into fixed energy, and electric and gas in Europe.  We have rock star products on the Peptan side. And when you start with, "What's the value of the product? Where's the marketplace going from the demand of the product?" and you listen to your customers, then you are able to rebuild the innovation. Our innovation pipeline today is tremendous. We're working on a variety of new products that our customers are coming to us and saying, "This is the future. This is where we would like to see you bring us products. " And we're really good at going back-end, because there's just such a broad range of expertise along different product lines, around the world, different geographies, we understand various cultures around the world very well. We have an ability to internalize those products and design that structure backwards. And I will tell you, today the pipeline is more robust internally than it's ever been. We have a very exciting platform of products that we are working on now, developing with our customers. But it's all about the finished products. It's all about creating a product that the market wants.
Manav Gupta: Thank you so much. Thank you for taking my questions.
Operator: Our next question will come from Ben Kallo with Baird. You may now go ahead.
Ben Kallo: Good morning, guys. Congrats on all the work. Maybe a boring question, but just on the leverage, how do you view that, Randy or Brad, when we look for it -- I think you check up in the queue, I saw up to five times and you've been there before, but maybe just remind us about the cash flow DGD spits out and how you think about the leverage going forward?
Brad Phillips: Yeah, Ben, this is Brad. Good morning. So, you followed us for a while and what we've tended to do is certainly deliver down to where we've recently been. And as Randy just articulated and John, we have been, we still are, view ourselves as a growth company. Having said that, when we lever up after Valley for a bit over two times, with FASA we will delever the -- we're in the process already delevering, our cash flows are tremendous. DGD coming online, now in the fourth quarter this year. So having said all of that, we still have the big picture from a leverage perspective of staying. After the dust settles from acquisitions, each time you see what we've done, we've gotten below three times -- well below three times, and that's really still our mantra and our strategy.
Ben Kallo: And Randy, you said, we're not finished with DGD and you talked about the SAF, but as you make acquisitions to underpin feedstock, is there -- what's the thought about what's next, I hate to ask that question but what's next in terms of another plant?
Sandra Dudley: Yeah, hi, there. This is the Sandra Dudley. I think we're right now working on fiercely trying to complete DGD 3. And but that said, well, there is no investment decision on the table. We purposely have less space at Port Arthur that would work well for a DGD 4 or SAF if the marketing conditions are right. And I think if you look at both us and our partners it'd be a huge underestimation to say that DGD 3 is the limit for us. I mean if you look at our partners you know they've done a whole lot beyond just petroleum. And then you look at what we've done as Darling, you know we're a great low carbon feedstocks business, a tremendous food business. And then we have an unparalleled renewables business. And then if you look at what we did together, we created DGD. I think that there is a lot more for us. I think we purposefully positioned ourselves within the market and how we built the DGD 3 to take advantage of whatever opportunities makes sense for us going forward.
Ben Kallo: Thank you.
Operator: Our next question will come from Adam Samuelson with Goldman Sachs. You may now go ahead.
Adam Samuelson: Hi, and thanks. Good morning, everyone. Randy, I was hoping -- first, if we could just think about the updated view on the base business for the year. I think in your prepared remarks, you said, $1 billion to $1.05 billion for the base and then [Indiscernible] 6 to 7 or so EBITDA for Valley. Could you help us just frame how the key moving pieces of how that's changed relative to where you were in the end of February, and specifically that just assuming forward curves on fats and oils from here? And then I have a follow-up on Valley.
Randall Stuewe: Adam, essentially, it's a bit dynamic and a bit crystal - ballish here a little bit, but we're looking at the Q1 run rate and then I'm looking at April now. And basically, doing rendering math divide by 4 times 13 and then extrapolate amount. So, it's very simple as we look at the run rate. And we have not seen the higher fat prices flow through the business. Remember we're 60 days sold out in front, and most times now relative to the supply chain to our Diamond Green Diesel. So, you get a bit of a lag. So, you're going to see Q2 much higher in the Global Ingredients business than Q1 because of the fat prices flowing through. Protein prices, while better sequentially lower year-over-year, whole bunch of different reasons going into that.  But still at the end of the day, somewhat at or near in many places to the soybean meal and as long as soybean mill doesn't crash, we should be good there. The Russillo and the food ingredients business is really just starting to ramp up as sales move forward here. And so, we feel pretty good there about it. So, it's pretty simple math of extrapolating in the first three -- the first quarter, and then take in April divided by 4 times 13 and that'll put you at the one -- basically the 105-run rate. And then Valley is -- we believe will run at about $8.5 million, maybe up to $10 million a month here for the balance of the year and there's seven months left. And so that's not added in there yet.  We're really on that day number eight of Valley, so it'd be kind of hard to tell you. Remember, while it was in Hart-Scott filing in today's world, you didn't get to do a lot of deep dives into people, places, and pricing if you will, and so now we're just getting into it. The benchmark for next year, there is just simply saying we should be able to get the similar margins out of that business operationally and marketing-wise and product mix wise that we have in our base business. So that's how that's all extrapolated. And Sandy's numbers are 750 times a buck and a quarter divided by two. And that's the magic math, I don't know that that works in Goldman Sachs quantum physics class, but that's Randall and Randy's math.
Adam Samuelson: I'm no quantum physician so I appreciate that. But on the Valley Proteins for next year, and just thinking about getting that business more in line with your Legacy U.S. business. Can you talk about where the bigger opportunities were, is the product mix moving some of the poultry byproduct into the pet food markets? Where was the gap in terms of their performance and their operations in their mix that you are so excited about?
Randall Stuewe: It's a little bit of everything, and number one, when a business goes for sale and Management teams and Operating teams find out that they're going to have a new owner it becomes a bit of a challenge to keep momentum. And I would say they lost a little bit of focus in momentum around the business. There's a little bit of capital, it's not giant numbers that I'll have to go back into this to bring it up to our standards, but just start to look at pieces specific, moving different products around, we look at what we're selling product for versus what they have sold product for and say, if they would have only sold the product at the same price we did or near, that's an insignificant number. There is 1,900 people in 18 factories. I mean, simple math again, 105, 110 people. There's a lot of people that we got to figure out what they're doing. And then you look at it from a yield standpoint, from an energy operating cost standpoint, and we see significant opportunity there to teach the organization how we do it. I don't want to ever say we're the best of the best, but I think we're pretty damn good at what we do. And when we benchmark ourselves against them, if we can get them to where we're at that it is very easily the achievable 150 number next year that we're throwing out there.
Adam Samuelson: And if I can just squeeze one more follow-up, where are spot margins in DGD today and how's a backward-dated diesel curve impacting your margin capture?
Randall Stuewe: Would you take that, Sandy?
Sandra Dudley: Yeah. So, diesel spot margins today are well above where they were for Q1, and they're getting closer to the $1.50 to $2 level. It just kind of depends on the day where the RINS prices, feedstock prices, etc. It's so well above what we saw the last quarter. So that's positive, and I think that if you look at where we're estimating for the year to end up at a $1.25, that probably looks like a pretty conservative estimate at this point in time. So, we're really happy about that. In terms of the backward-dated curve, the backward-dated curve for us, what we do is we don't necessarily hedge our volumes out to the front month. They're going out to further months, and so we're not capturing that full front month value that you're seeing.
Adam Samuelson: Okay. That's really helpful. [Indiscernible]. Thank you.
Operator: Our next question will come from Ben Bienvenue with Stephens. You may now go ahead.
Ben Bienvenue: Yeah, thanks so much. Good morning.
Randall Stuewe: Morning.
Ben Bienvenue: I want to ask about your acquisition strategy around, [Indiscernible] to build out your feed ingredients business. Strategically it makes all the sense in the world, and I think you guys are in a relatively unique position that you're vertically integrated. Renewable diesel production positions you to acquire these assets, I would think without a lot of relative competition for these assets, the multiples you're paying suggest that. Can you talk about the potential, though it seems remote, for the competition for these types of assets to grow? And when you think about the value that you can add to these businesses, when you buy them, given your long history of running and operating these types of the businesses efficiently, how that positions you competitively relative to potential other suitors for these types?
John Bullock: This is John. First of all, thank you for asking that question. This is something we sit around all the time and wonder especially quite frankly, when we see the multiples that others are valued in the marketplace. The reality is this, the feed stock supply position that we've established around the world in today's marketplace would cost an insurmountable amount of money for anybody else to come in and try to replace. But more importantly than that, the supply system associated with low carbon fats is a complicated supply chain. These are complicated supply chains to our plants, our plants are complicated to run, and the sale of the products in the marketplace and the supply chain is a complex mechanism to operate.  So, if somebody went in today's market with basically what we've seen in recent acquisitions with others if you look at what you've heard in the marketplace in relationship to other acquisitions that have occurred out there that we haven't been engaged in, you would see multiples in the 12 to 18 times range. If you went out to try to replace the size and scope of our system at those types of multiples today, you would have to break a bank to come up with enough money to do that. So, the reality is we're hard to duplicate. In fact, we're impossible to duplicate. You announced pretty easy to set up a trading desk and put a guided desk with the telephone and say that you've got procurement expertise on fats.  You've got the ability to call us up to try to buy fat and others like us. But you don't really have the ability to source back from its origin source, which is what we do. We go out to restaurants and pick up the fat. We go to slaughter facilities and pick up the process and material in and bring it in process, where you are and pick up the food plate waste and come in and turn that into bioenergy. The reality is that system is very difficult. Nobody else has that. Nobody else has the vertically integrated position in this marketplace. And it seems to be the best kept secret in the entire industry.
Randall Stuewe: I would add Ben, I mean it's a very special business that we've put together over the last 20 years. Clearly the market place is still trying to understand what we have, what the competitive advantages are. I mean scale, geographic people, expertise, product line. When a meat processor around the world, whether it's in Brazil or China or Australia thinks about it, the first call is to us now because they know we can derive maximum value for them with the product line that we can convert their by-products into. And that essentially pays them more, make them more competitive, and help them grow at the same time meeting our shareholder requirements of growing. Like I said, we still see the world as an oasis rather. John was talking about; I always like to give a little joke about it. I mean I traded out there at 15, 16 times, you got 200 million pounds of fat. Well, that's great. Well, we got that with Valley and by the way we've got the 18 other rendering plants for free. It's really how do you look at this stuff and this is really a very special platform around the world that has -- it always has competition, but we have such a position now, I think it's very defensible and it will continue to grow.
Ben Bienvenue: That's great. Yeah, definitely an enviable position to be in. My second question relates to cash flow, and I'm less looking for a direct answer and more hoping that you can help us think about calibrating strategically. And the question is, I think we certainly been guilty of this, focusing a lot on what might the distribution of cash flow from the joint venture be back up to Darling in 2023 or beyond. And I'm stepping back and seeing or thinking now, you're making acquisitions across the feed ingredients business, you're investing into organic growth of the business, you're buying back stock, [Indiscernible] about potentially SAS down the road at the economics lineup. And I guess it sounds more like you've got a lot of opportunities that you might pursue and the returns will dictate where you put the capital to work. But as we get closer to what's likely to be a very sizable amount of free cash flow coming back to the business, have you considered setting up a framework or a structure to create some predictability in our expectation or where that cash might go, or is it truly going to be variable depending on the environment?
Brad Phillips: No. I think, Ben, you articulated about six hours of the board meeting the last couple of days there, and to be honest with you, yeah, we will be articulating that. I mean, 1. We will maintain -- and our goal is to become investment-grade and maintain sub three leverage. So, if you say $1.1 gets you to the trajectory of delevering after the growth that we've done here. That's very simple to do given the massive amount of cash has generated. 2. John Bullock has projects that will compete for capital. 3. We'll continue our share buyback on an opportunistic basis, just like we've done, we're committed to that. 4. If there's any shekels left in the cigar box, then the board will have the opportunity to put a dividend under it in 23 to be meaningful. So, there's going to be a balancing act of all four items with the 1. being maintained a leverage at an investment grade levels or below; 2. fund the growth as we see it out there that has reasonable returns; 3. buyback stock when it makes sense when that is the best investment and it make sure we don't dilute anybody at any time; and 4. consider a dividend when it makes sense here. And so, I think that's exactly what you're going to see us do, and we'll be committed to it.
Ben Bienvenue: Very good. Sounds great. Thanks so much. Best of luck.
Operator: Our next question will come from Thomas Palmer with JPMorgan. You may now go ahead.
Thomas Palmer: Good morning and thank you for the question. Maybe follow-up on Adam's question on DGD's economics, and dig into some of the factors that maybe could cause DGD to vary from the spot rates you cited. So, I'm just going to lift a couple of things. So first I saw you have an approved pathway in California for renewable Naphtha. Have you started selling into LCFS markets with that? Second, the derivative losses were pretty sizable last quarter. At this point, should we expect additional losses in the second quarter? Or is it mainly going to be isolated to that first quarter? And then third, to what extent should we factor in startup costs as Port Arthur, as we look at the fourth quarter?
Sandra Dudley: Okay. So, I guess I'm going to start with our feedstock or our hedge loss, because you brought that up. So typically, what we do at DGD as we buy our feedstock months in advance. And when we do that, generally what we try to do is we try to hedge the spread between the feedstock price and the diesel price. That means that we're putting on hedges in the months in which we plan to sell the diesel. That's typically not the front month, so that's in part an answer to your first question on why we don't realize the front month margin. So basically then -- and because we're putting those hedges on and specifically within Q1, what we saw is we saw that diesel price continue to climb all quarter along.  And what that meant then is it meant that we were buying our hedge back at a higher price than what we put it on at, that's what created the hedge loss. And in terms of what we expect going forward, we don't know where diesel prices are going to go, we're not going to expect the spread. We have a normal hedging policy that we're planned to maintain and so, where that falls out is where it falls out. In terms of Port Arthur and margins and where we think things are going to go, we think that there's a lot of support within the market. What we've seen recently was different than what we saw really in Q4 as we saw that RINS really responded as well. And we continue to think that RINS will respond in order to incent the marginal producer.  And we're not the marginal producer. So, we do think that we'll have good values when Port Arthur comes online. We have very low carbon feedstocks that we utilize and we're fortunate for that. And so, I don't necessarily anticipate anything different with regard to Port Arthur, but we'll see. We'll see how the market reacts to that. We do see -- we're also seeing some movement in LCFS prices, which is a good sign. We've recently seen those pop back up. I know that CARB recently came out with their report on the scoping plan or there is some initial discussion with regard to the scoping plan where they were talking about considering increasing the targets both before and after 2030. So that's very positive and I don't know if that's what's driving the increase in LCFS prices. But I think that those will continue to strengthen theirs. I think that the market looks very positive going our way and that's again why we're seeing better margins going into the future than we did in Q1.
Thomas Palmer: Thank you for all that detail. Maybe just a follow up on the thoughts on the acquisition. What's the structure of the rendering market in South America? Is it formula contracts similar to the U.S. or structured differently?
John Bullock: This is John. There's a combination of formula contracts and then also some -- just contracts we're repricing versus the marketplace. I think the critical issue that we see in Brazil with F ASA that we see an all of our rendering operations is that we have the right locations and relationship to where the slaughter by-products are being created. So, we've got the really good economics. We can give a really great deal back to our raw material suppliers because of how we're positioned in those marketplaces. And the form and substance of whether you are doing it on a long-term contract or whether or not, you're just buying on what the current market is and testing along that value back to your raw material suppliers, I think, is sometime overestimated. We operate very different models in every continent that we operate in. But the fundamental thing is this, are you in the right location with the right processing capability to support the people that are providing you with the raw material products? And if you are, then you've got a great business model.
Thomas Palmer: Thank you.
Operator: Our next question will come from Ken Zaslow with Bank of Montreal. You may now go ahead.
Kenneth Zaslow : Hey, good morning, guys.
Brad Phillips: Morning.
Randall Stuewe: Morning.
Kenneth Zaslow : I'm going to try to do some Bank of Montreal math. Maybe not that complicated, but let me just try this out. If you're guiding this year to $1.1 billion for the rendering and you have another $150 million of incremental profit coming from Valley, that seems to add up that $1.25 for next year without any changes. And then if I think about the Diamond Green Diesel going to about 1.3 billion gallons next year, holding margin at $1.25, that's close to about $800 million. Is there anything wrong with Bank of Montreal now?
Randall Stuewe: I would say, okay, we're guiding $1 billion to $1.5 billion in the base business at 50 to 64 accretions from Valley this year. So, you could say up to $1.1 billion there. The increment -- so I call it 150 -- that's an incremental 100 over the 50 this year. So, if prices hold, volumes hold, then yes, you could go $1.1 billion to $1.2 billion next year. And then I'm looking at Sandy, if we -- $1.2 billion is what we're saying, you're rounding up to $1.3 billion now. I'm not allowed to do that, although I believe it will do that. And you're right. That is Bank of Montreal math and I love it.
Kenneth Zaslow : And that also excludes the [Indiscernible]. Is that also true? That includes --
Randall Stuewe: Yes, and like I said, it's at a $500 million or up. Divide by five on the real plus or minus a couple bips there. So, it's at $100 million run rate right now USD.
Kenneth Zaslow : Okay. And then also, just to make sure I fully understand this, what new capacity for you guys coming online this year on the food side? And does that add incremental profitability?
John Bullock: We have one unit coming on to expand our Peptan capability later this year.
Kenneth Zaslow : That would also be largely incremental as well. Is that fair?
Randall Stuewe: In '23 as it comes on. It's supporting the growth in the hydrolyzed college and business for next year.
Kenneth Zaslow : There I was just trying to just do more math. And then the second question I have just to double-check on this, next year when you -- from the Diamond Green Diesel business, if you pay a dividend back to yourself, that could be used to deleverage the balance sheet to leverage it. Really not an issue that I should know about? Or I know Brad when you discussed the leverage, you talked about generating tons of cash flows. But you also have is Diamond Green Diesel dividend that might be coming back next year. So that also provides a little likelihood of deleveraging or am I misunderstanding that as well?
Randall Stuewe: No. Using the math that you generated there, if we snapshot the world as of May 2nd or whatever, Brad, we're what? Two eighty-eight levered with something like that with Valley in there now. We're where we want to be right now and then if we start pulling dividends of $400 million to $600 million out of Diamond Green next year, on top of a core run rate that has a billion number in it, that -- there's somewhere between $700 and $1billion of free cash to, like I said, during one of the four things that we're going to do.
Kenneth Zaslow : Okay. And then my last question is, when I think about SAS, what is the pathway to that? And what will be the key milestones for you to be aware of that? And then I'll leave it there.
Sandra Dudley: I think the big milestone for us really is to get a tax credit put in place, that's really the main holder. So, we need to see what that looks like and see if it makes economic sense before we want to make an investment decision on that.
Kenneth Zaslow : That's great. I appreciate it, guys.
Randall Stuewe: [Indiscernible], Ken.
Kenneth Zaslow : My pleasure.
Operator: Our next question will come from Matthew Blair with Tudor, Pickering, Holt. You may now go ahead.
Matthew Blair: Hey Randy, you mentioned that DGD is pulling some feedstocks from Brazil today. What percent of DGD's feed is imported now? And looking forward, do you expect the U.S. to pull an increasing amount of global feedstocks to support all this RD growth, and if so, it seems like you're Gulf Coast location could be pretty ideal. So, hoping you could comment on that.
Randall Stuewe: I'll comment a little bit, let Sandy put her thoughts together. I mean, clearly, we have the arbitrage flexibility. We're bringing stuff from all over the world today into Diamond Green Diesel one and two, and obviously we will all three. I mean, that's the beauty of those locations, receive by water, can ship by water. And as long as the U.S. is really the leader in low carbon markets, and as long as the capacity is here not in Europe, then yes, we will continue to originate. Sandy, you want to comment a little bit?
Sandra Dudley: I think as we have expanded our capacity, then we've drawn more international feedstocks into the mix. I would expect that we will do the same once DGD 3 comes online. And I think we want to do that because we have the unit that can run the cheapest fats. And so, we want to do that, so we can create the highest margins. And so, we're fortunate that we sit in the Gulf of Mexico and where we do, and that we have the capabilities that we do with our unit, that we have the pre -traders that we have just tremendous logistics, and that we can bring in whatever the cheapest fat is from wherever that is in the world.
Matthew Blair: Great. And then thinking about the $1.25 EBITDA guidance for 2022, I was curious if you view that as somewhat of a floor, just considering that some of your competitors seem to be struggling, even to stay like cash to break even in this environment. So, is that $1.25 a floor in your mind and then also does that $1.25 -- is that enough for you to support additional R&D investment?
Randall Stuewe: Yeah, I'll try to answer that a little bit. Maybe John will want to pipe in. Now, number one, as Sandy said, we look at the ability of the feedstocks we can run and originate from around the world that gives us an incredible competitive advantage. You've heard about the pathway on Naphtha now that's out there. The scores that we have, the supply chain between us, no one ever talks about Valero's supply of corn oil. That's important into this facility. A $1.25 I would say to you is the floor, but right now with what we see, obviously with the inverse or the backwardation, I had to learn what that word meant in the market, clearly, as we go forward here, it looks like it's conservative with what we see. And going forward nearby spot margins are quite a bit above that, but as we work through the volatility and then the world dealing with renewable demand or rather with the higher oil prices will see. Keep in mind a dollar and a quarter against a $3.30 a gallon investment is still an incredible return for us as we go forward. Sandy, John, is there anything you want to add?
John Bullock: I think the only thing that I would add to it, and we've talked about this a lot in the past, we have built a machine that is the right machine, in the right location, with the right expertise, and the right capabilities. And essentially, what we have is a Swiss watch. We're fully capable to maximize margins in the environments that we'll develop in the future. We have a lot of folks out there that are not buildings with Swiss watches. They're trying to come out with the cheapest knockoffs they possibly can to try to participate in what looks like a massively lucrative business. This is a very good business if you're in the right location, with the right machine, with the right logistics, with the right people. If you're not, it's not so much fun and we're starting to see that from some of these other guys. So, margins will go up and down over time at Diamond. We're fully confident that we built the right machine, with the right partners, and we're prepared to compete for the long-haul. And we think that margin structure is going to be solid for us. And as Randy said, as a dollar and a quarter, it remains the best investment that you could possibly have, an [Indiscernible] or energy in the world.
Matthew Blair: Thank you very much.
Operator: Our next question will come from Sam Margolin with Wolfe Research. You may now go ahead.
Sam Margolin: Morning everybody. How are you doing?
Randall Stuewe: Morning.
Sam Margolin: Quick one on this Green Energy initiative, maybe you could elaborate. I guess you are talking about RNG digester gas; and I was just wondering, it makes sense, given where energy costs are in Europe. Is this a business that you imagine as an internal almost like a co-gen business or are you planning to distribute what you produce to third-parties?
John Bullock: This is John. We've been engaged in digestion in Europe now for very long period of time, we ran one of the largest digesters since we bought beyond and our SAN facility in the Netherlands. We recognize this, it's interesting, low carbon -- everybody has been focused on just low carbon biofuels, and that's a very important marketplace. However, in Europe, you have a fundamentally different pricing structure. The price for fixed power is so much more expensive. This is before Vladimir Putin invaded Ukraine. It's much more so today. But even before, fundamentally, they had high natural gas prices and that led to an extremely lucrative market. They have also developed a policy that support fixed power generation, similar to what we've talked about as a renewable electric credit in the United States, it's never been fully baked into the regulatory steam in the U.S. It is in Europe.  And so, we have the expertise -- again, running digesters is a tricky proposition. We have great internal expertise, we expanded some over the years, we put a unit into our Denderleeuw facility in Belgium a few years ago, expanded that. Just recently bought Op de Beeck, and we continue to look to expand that business, because we just think fundamentally, it's a great price, it's a great place in Europe to take advantage of the low carbon fixed power market. Because the marketplace is structured such that it makes a lot of sense to be engaged there in the regulatory scheme, is extremely friendly to being able to be in that industry. So again, we were in the right place at the right time, but we did not sit on our laurels. We've rapidly expanded that with an absolutely fabulous European team we have working on that.
Randall Stuewe: Sam, the supply chain there is obviously we can divert different streams from plate waste that has to be a recycled to manure. We are in partnership with the Dutch farming community to different animal byproduct streams that are not allowed to go back into feed. And clearly, then from there, you obviously make the gas. We convert the gas to electricity through the turbines and we make biophosphate fertilizers then it goes back into the marketplace. And so, it's just a natural for us. As John said, we operate the largest facility in the Netherlands in Son. We built and doubled and tripled the size of our Denderleeuw, Belgium facility. Now, we added Op de Beeck and we still see three or four different opportunities throughout Europe, from Poland onto Germany that allow the same thing because of the -- if you think of it, it's the logistical supply chain. You got to have the trucks to collect the material. It's no different in a sense from the used cooking oil business in North America. We're just picking up different streams, and instead of settling or purifying used cooking oil, we're converting it back into green electricity. So, it's a very natural fit.
Sam Margolin: Thanks for that. And then just a quick one on Food. I mean, if I look at the margin progression and I overlay that with the way you talk about the segment in terms of mix benefits and new products, it looks like we're almost at the finish line of the new product contribution, its overwhelming and making up for the energy cost headwind that was hitting margins earlier. Do you think that's a -- is that a fair assessment? And then on the margin side, is that just going to keep going where now that business has essentially fully absorbed the energy cost impact and now, you're just banking the mix benefit on the collagen inside and --
John Bullock: Yes, I'm not totally sure that I understand the question. Let me comment generally about the segment. We have seen tremendous margin improvement in our Food segment because we were an early adopter into the peptide space and have been able to divert a lot of products towards that much higher margin product marketplace. And the demand in that marketplace I'll have to tell you is absolutely stellar and we don't think that that stops. We still think there's plenty of opportunity for us to grow in that space and we work hard on that every day to take advantage of opportunities to grow. I'm not quite sure I understand the energy cost component of what you were asking us.
Sam Margolin: My question is, so you had margin benefits accruing from product mix on the peptide side, but it wasn't accumulating to full segment margin gains, right? Year-over-year, you have a little bit of decremental margin in food. And I'm attributing that to energy costs. So, I'm just wondering if -- now that energy costs have economy plateaued, we're through that process. And you'll start to see food margins expand because there's nothing [Indiscernible].
Randall Stuewe: Yeah, I think, Sam, that -- I think there were multiple things, obviously, from COVID disruptions, container-free disruptions, energy price escalation, raw material price escalation, that all impacted that food segment really -- instead of going into hyper-speed, it stayed back on cruise control last year. We're starting to see that now accelerated first quarter, and we think it'll continue through 2022. And then we bring on some more capacity in '23. So, I think you'll see an improvement there. I think -- is that fair enough, John?
John Bullock: That is exactly right. It was -- energy was part of it obviously, but there were, as Randy said, a variety of factors that just flush together that kind of delayed what we thought was going to be the impact coming out of this. But now we're starting to see it, and it looks like it has an excellent growth curve to it.
Sam Margolin: Got it. Thank you.
Operator: Our next question will come from Bill Baldwin with Baldwin Anthony Securities. You may now go ahead.
Bill Baldwin: Thank you very much. I wanted to see what insights you can offer regarding your rendering volumes in Europe. You indicated you are going to have roughly around 15 million metric tons globally with the acquisitions that you've made. Where do we stand in Europe in terms of those volumes? And what are the trends there? Are they static? Are they growing? Or are they declining? Kind of what -- can you give us a feel for that?
Randall Stuewe: Well, I think, Bill, we had about 11.5 million tons, added 2.5 tons, a little under with Valley, and another little under 1.5 million tons with FASA. So that's where the 14 million-something rounding to 15 million tons comes from. Never really broke out Europe. But what I can tell you, in Europe today, the volumes are actually up year-over-year right now. Pretty steady. Animal agriculture is under attack, a little bit in Europe today. Really, what's -- what climate change and what's to do with the manure. We've seen some animal disease issues in Europe. ASF up in Poland, a little bit into Germany. And then we've seen some bird flu issues. Now remember that while the bird flu side depopulates in Europe, anything that does with animal disease gets brought into one of our seven Rendac plants to be disposed of. So, we've benefit on both sides there. But really no material changes yet today in animal production or demand in Europe. John, Brad, anything on the [Indiscernible]?
John Bullock: No. I think one of the interesting things that we've seen, and it was interesting when COVID started, we sat around and worried about what was going to happen to our volume, and it didn't go down and it went up. And then as we've seen supply chain disruptions around the world, we sit around and worry that our volumes are going to go down and it goes up. The reality is the demand consumption by the world now, while everybody complains about prices, people are still buying. And so, we speak tremendous volumes, continuing to flow through our facilities and that's part because we keep bringing on additional production capability all the time to be able to handle that. So, it's great right now.
Randall Stuewe: And I think more importantly in North America, we're still running, plants run around six days to make five days of production in the meat business because of the labor shortages. I mean, it's just universal. So clearly the demand's there and they could bring more, if they had more people. So, we're optimistic for the year that the volumes will remain robust and they were up 3.6 year-over-year right now during Q1.
Bill Baldwin: That's been -- while we expected volumes would be pretty good here at an early part of the year. But I feel like they might trail off a little bit. The beef as you got out towards the latter part of the year, but it sounds like you're not really expecting that, Randy.
Randall Stuewe: [Indiscernible].
Bill Baldwin: Right. Last question, as far as the European rendering, can you offer a little bit of a species breakdown as the percentage of beef, pork, and poultry that you processed through your rendering plants there? How is that stack up?
John Bullock: Well, this is John. There's less cows in Europe. There's a whole lot of chickens and there's all lot of pigs. We're both -- we're engaged heavily in both of those.
Randall Stuewe: Yeah, I mean Germany is clearly a beef country. In Holland there's a lot of pigs and in Poland there's a lot of chicken. It's pretty much -- it's pretty similar mix to what we have in North America here. It’s just on different on which country because you've got more pasture land obviously in Germany.
Bill Baldwin: Okay. Thank you very much.
Operator: This concludes our question-and-answer session. I would like to turn the call back over to Randall Stuewe for any closing remarks.
Randall Stuewe: All right. Once again, thank you everybody. I appreciate everyone's time today. I hope you stay safe. I look forward to seeing you sometime at any upcoming events. Next week there will be at BMO presenting there, and I look forward to everybody catching up and staying healthy and being safe. I'll talk to you soon.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.